Operator: Thank you for standing by. This is the conference operator. Welcome to Westwater Resources, Inc. Third Quarter 2025 Business Update Conference Call. [Operator Instructions] The conference is being recorded. [Operator Instructions] I would now like to turn the conference over to Stephen Cates, Chief Financial Officer. Thank you, and over to you.
Steven Cates: Thank you, moderator, and good morning, everyone. Thank you for joining us for today's business update. I'm joined by Terence Cryan, our Executive Chairman; and Frank Bakker, our Chief Executive Officer. We appreciate your time and continued interest in Westwater. Before we get started, I'd like to let you know that we filed our Q3 results with the SEC yesterday. Investors are welcome to visit our website or the SEC's EDGAR database for more detailed information. Additionally, I want to remind everyone that today's discussion will include forward-looking statements. These statements reflect management's current expectations regarding various factors, such as projected demand and pricing for natural graphite, expected time lines and costs related to the Kellyton Graphite Plant and Coosa deposit as well as capital raising activities. As always, these statements are subject to certain risks and uncertainties, which are detailed in our annual report on Form 10-K for the year ended December 31, 2024, along with other SEC filings. Please also see the cautionary statement included in our November 7 press release. Actual results may differ materially from those expressed or implied in today's remarks. With that, I'll pass it over to our Executive Chairman, Terence Cryan, to provide opening remarks.
Terence Cryan: Thanks, Steve, and thanks to everyone joining us today. It's been an eventful few weeks since quarter close, so I wanted to share some thoughts and provide an update on where we stand. Last week, Fiat Chrysler Automotive, a division of Stellantis, unexpectedly terminated its offtake agreement with us. This was 1 of 3 offtake agreements we had in place that underpinned our debt project financing. As many of you know, we have 2 other offtake agreements with SK On, and Hiller Carbon that remain in effect. And as Frank will share shortly in detail, we're providing large samples for these and other potential customers from our qualification line. Stellantis withdrawal from the offtake agreement has paused our debt syndication process, which was reliant on that offtake support. We haven't lost sight of our end goal, commercial production and revenue from Kellyton. We've invested approximately $125 million so far in developing Kellyton Phase 1 into one of the most advanced facilities for producing battery-grade natural graphite in the U.S. Our focus now is to optimize Kellyton's ramp-up by aligning capacity more precisely with our existing offtake commitments. This strategic adjustment will likely allow us to reduce the capital required to reach full commercial production and make our project more resilient, leaner and better positioned for the current environment. We expect to complete this review and finalize our updated strategy and communicate our plans early next year. We're still in the infancy of the U.S. battery materials market, and Westwater is at the forefront, navigating the challenges that come from developing an industry at this early stage. We're focused on developing Kellyton as a proven, reliable supplier of battery-grade graphite, advancing our Coosa deposit permitting and maintaining a strategic presence in this nascent, but high potential market. Our management team is resilient, adaptive and ready to navigate these challenges. The $55 million we raised in the second half of this year provides us with flexibility and additional runway to pursue our objectives. Westwater Resources remains the most advanced U.S.-based developer of battery-grade natural graphite. We control the largest, most advanced natural graphite resource in the continental [indiscernible] United States and have the infrastructure, including a qualification line that can deliver 1 metric ton and larger samples to current and potential customers. The vertically integrated nature of our business provides us with distinct advantages. We're committed to building a sustainable, profitable business, and we're prepared to do what it takes to succeed, adapting quickly and staying laser-focused on our objectives. We very much appreciate your continued support, confidence in our team, and we look forward to sharing more updates on our progress. With that, I'd like to invite our CEO, Frank Bakker, to provide more detail on the upcoming optimization efforts at Kellyton and the significant progress we've made so far. Frank?
Frank Bakker: Thanks, Terry. I'm excited to update investors on the strides we are making at Kellyton and how we are strategically adapting to the recent market developments. If I step back for a minute, I'm incredibly proud of how far we have come since we broke ground in mid-2022. From initial construction to now, we are already delivering large sample quantities of battery-grade natural graphite from our qualification line. This is an important milestone, and it is a direct result of the hard work and dedication of our team on the ground. Personally, I spent substantial time in China, partnering closely with our vendors and reviewing the technology used there to ensure that we use proven technology for our plant here in the U.S. That hands-on effort is helping us to optimize every aspect of our process and will significantly reduce the process risk of our plant. A key part of our progress to date has been the development of our qualification line that has been a critical step not only as a springboard towards full commercial production, but also as a way to generate real meaningful samples for our customers. Last quarter, we successfully launched our commercial micronizer and shaping mills, completing full production runs of over 1 metric ton of CSPG for current and prospective customers. We are focused on delivering a quality battery-ready product. We have made improvements to our production capabilities through upgrades to the qualification line, which have resulted in faster cycle times, higher yields and better flow rates. All of this strengthens our confidence in scaling up to Phase 1 and ensures we are well prepared for what's next. As Terry mentioned, we are optimizing the Kellyton Phase 1 ramp-up to align with our existing offtake commitments. While it will take some time to fully assess and implement these changes, our goal is to complete our evaluation by the fourth quarter with updates to follow in early 2026. Importantly, through these optimizations, we aim to reduce capital expenditures and advance towards Phase 1 commercial production as swiftly as possible. Everything we are doing, including upgrading the qualification line, ramping up new mills, refining our process is all about getting ready for full-scale production. Our team is gaining invaluable hands-on experience every day on the qualification line. And with our patented environmentally friendly purification process, securing that U.S. patent last quarter really underscored our leadership in sustainable domestic battery materials. I would also like to highlight the work being done at the Coosa deposit, which remains a key part of our strategic growth plans. Coosa will allow us to vertically integrate our business. We plan to mine the graphite at Coosa and process it at Kellyton. This integrated approach will allow us to control the supply chain, the quality, reduce cost and strengthen our position in the domestic supply chain for battery materials. Right now, we are advancing the permitting process. Our team has been working closely with regulators and stakeholders to navigate the necessary steps for mine development. This is a crucial effort, and we are committed to ensuring that the development of this asset is done responsibly and on schedule. With that, I will hand things over to Steve to dive deeper into the financing side of things. Steve, the floor is yours.
Steven Cates: Thanks, Frank. Good morning, everyone. I want to take a few minutes to provide you with an update on where we stand financially and share some of the key steps we're taking to stay agile and positioned for success, especially given recent market developments. Since June 30, we've raised approximately $55 million through our ATM program and a convertible note offering. As of November 5, our cash balance stands at about $53 million, giving us solid runway to continue to work on Kellyton and advance our business. As fellow shareholders, we're mindful of issuing new equity. We carefully weigh the impact of issuing equity against the importance of ensuring adequate liquidity, advancing our key projects and staying ready to move if and when new opportunities arise. The additional liquidity strengthens our balance sheet and gives us the flexibility we need to continue investing in Kellyton, advancing the permitting process at Coosa and pursuing potential government funding that could further support our growth. In terms of potential government funding, you may recall we filed an application with the U.S. Export-Import Bank. The due diligence is ongoing, although it has experienced delays due to the U.S. government shutdown. Nevertheless, we're optimistic about resuming progress soon. We've also engaged advisers to help us identify additional government funding opportunities. One potential avenue is the Department of Energy's Critical Materials innovation initiative, which is focused on advancing technologies to secure, develop and process critical minerals domestically and advance clean energy technologies. As you know, graphite is a key component of EV batteries. It is the most commonly used material for anodes, given its exceptional conductivity and makes up about 50% of the weight of a lithium-ion battery. It is also on the U.S. geological survey list of critical minerals. So this is an area we're actively exploring. In addition, we're evaluating the potential of participating in the FAST-41 program for the Coosa deposit. FAST-41 is an initiative designed to expedite the environmental review and permitting process for large-scale critical infrastructure projects. The goal is to dramatically reduce time lines by providing a more streamlined review process. We're working closely with our advisers to explore and pursue these and other options to support and accelerate our project development efforts. At the end of the day, we're focused on keeping our balance sheet strong, staying disciplined with our spending and continuing to move our projects forward. Every decision we make is about putting the company in the best position to grow and deliver long-term value for our shareholders. With that, I'll turn it back to Frank for closing remarks.
Frank Bakker: Thanks, Steve. We have covered a lot of ground today. Looking ahead, our main focus remains on completing the optimization of Phase 1 at Kellyton. At the same time, we are actively engaging with potential new customers for additional offtake opportunities, and we're making progress on the permitting process for the Coosa deposit. As you all know, the U.S. battery materials sector is still in its early stages, and we are proud to be at the forefront of this emerging industry. While challenges exist, we are confident in our ability to adapt and continue moving forward. Our goal is to build a solid foundation for sustainable long-term growth and value creation for our shareholders. We also recognize the importance of listening to our shareholders. Many of you submitted questions in advance of this call, and we plan to address a handful of those questions live shortly. First, I will turn it over to the operator to handle the live questions from the queue, and then we'll pass it to Steve for questions submitted earlier. Operator, over to you.
Operator: [Operator Instructions] We have the first question from the line of Heiko Ihle from H.C. Wainwright.
Unknown Analyst: This is Keyes. Heiko's Associate just filling in from today. The first question, maybe provide a bit of color as to what you guys are seeing related to permitting at Coosa and namely if there have been any bottlenecks due to the government shutdown? And I guess building on that, maybe any long until things go back to normal now that we have supposedly temporarily resolved this?
Steven Cates: Yes, Heiko, this is Steve or Keyes, sorry. I think we mentioned in our pre remarks just about the FAST-41 program and that we want to continue to advance permitting at Coosa, we have an adviser. I think one of the key things is to complete some studies and do some stuff. So as we apply to the FAST-41 program and try to get into that, we entered the program on solid footing. We believe we're right in the middle of the fairway, but want to take care of a couple of studies and things ahead of that, just to put us in the best position to get on that dashboard. This is probably the best permitting environment for extractive industries in the U.S. in multiple decades. So we want to take full advantage of that. Regarding the government shutdown, as it's impacted travel and everything else, it's definitely impacted a lot of things. And as far as when things get back to normal, I'm not brave enough to take a guess on the call.
Unknown Analyst: Makes sense. Also, maybe a bit of a follow-up as to what you're hearing in the market related to pricing, maybe how that view has changed or rumblings you've been hearing from clients related to longer-term graphite demand. And taking that a step further, what government incentives are there besides the export import bank that are on the short list for applications?
Steven Cates: Thanks. Yes. This is Steve again. I think back in the second quarter call, we spoke a little bit about what we are seeing as far as anode pricing and that we were seeing a willingness to increase that because of tariffs, because of other things that are out in the market and some uncertainty with export restrictions and things like that. What I'll say is based upon our discussions with customers now, we haven't seen any deterioration in that as of late and feel like prices are at least holding with the potential to go up again. And your second question was on government funding, correct, that follow-up?
Unknown Analyst: Correct. Yes, just any government incentives out there besides export import?
Steven Cates: There is. The DOE has the one that was mentioned in the pre-remarks that set aside for critical mineral processing. There's also money that has been allocated to the Office of Strategic Capital as well for critical minerals. It's a high focus of this administration. We believe that with our processing at Kellyton as well as our Coosa deposit and the extraction there of graphite, that vertical integration puts us right in the middle of the fairway of what this administration wants to do. And so we've engaged advisers to help shepherd us through the process of looking at that -- those different buckets of allocated capital that the government has set aside.
Operator: We have the next question from the line of John Grazioli from Morgan Stanley.
John Grazioli: I like -- my question is about some future businesses like these SMR reactors. And I've noticed that there's been a few companies like [indiscernible] Energy and so forth, they call salty reactors that use graphite in their manufacturing process. Is there any interest from these types of companies from -- with the data centers because these reactors are going to be used for these data centers. And is graphite a component that's being sourced through you guys?
Frank Bakker: Well, John, this is Frank. Yes, we are not aware of that application, but thanks for bringing this up. So we'll certainly look into this.
John Grazioli: Okay. That's my question. So there is no interest at this point from these SMRs.
Frank Bakker: Well, we will look into it to see if that's a market we can enter into, but we are not aware of that at this moment.
Operator: Ladies and gentlemen, that concludes the live Q&A session. I would like to turn the conference over back to Steven Cates for the pre-submitted questions. Thank you.
Steven Cates: Thank you, operator, and thanks to all the shareholders who submitted questions in advance of our call. We've covered a number of those already through our prepared remarks as well as the questions earlier. So I think there's really one additional question based upon what we haven't covered that was a common question that wanted to address here. It had been reported that we had recently completed an offering of $75 million based upon a filing we had. And I think there's some confusion in the market that I just wanted to clear up a little bit. To clarify, the $75 million was an ATM refresh on the program, just maintaining the ATM that we've had for a number of years. It was not a single onetime offering. And just to note, the substantial majority of the approximately $55 million we've raised since June, that occurred before that ATM refresh. So I just want to provide that clarification to the market. And with that, I will turn it back to the operator to conclude the call.
Operator: Thank you. Ladies and gentlemen, that concludes the conference. You may now disconnect your lines. Thank you for participating, and having a pleasant day.